Operator: Good day, everyone, and welcome to the Progress Software Corporation Q2 Earnings Call. At this time, I would like to turn things over to Tom Barth, Vice President of Investor Relations. Please go ahead, sir.
Tom Barth: Thank you, Farrah, and good afternoon, everyone, and thanks for joining us for Progress Software's Fiscal Second Quarter 2013 Earnings Call. With me today is Phil Pead, our President Chief Executive Officer; and Chris Perkins, our Chief Financial Officer. Before we get started, I'd like to remind you that during this call, we may discuss our outlook for future financial and operating performance, corporate strategies, product plans, cost initiatives or other information that might be considered forward-looking. This forward-looking information represents Progress Software's outlook and guidance only as of today and is subject to risks and uncertainties. Please review our Safe Harbor language regarding this, which is available on -- both on today's press release, as well as in the Investor Relations section of our website at progress.com. Progress Software assumes no obligation to update the forward-looking statements included in this call, whether as a result of new developments or otherwise. Additionally, on this call, we may refer to certain non-GAAP financial measures, such as income from continuing operations and diluted earnings per share from continuing operations. You can find a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP numbers in our earnings release issued today. We published our financial press release on our website and provided the information to the SEC in an 8-K filing. These documents contain the full details of our financial results for the fiscal second quarter of 2013, and I recommend you reference these documents for specific details. Today's conference call will be recorded in its entirety and will be available via replay on our website in the Investor Relations section. With that, I now turn it over to Phil.
Philip M. Pead: Thank you, Tom, and good afternoon, everyone. Our second quarter performance demonstrates that we continue to make solid progress on our goals. It was also a nicely balanced performance, with all of our operating units returning strong results. As I mentioned in our earnings press release, we are now singularly focused on the application development market, which has historically been Progress' core strength. Our renewed focus on this market has resonated with our partners and customers and has resulted in good momentum. I've also previously stated that our focus for fiscal year 2013 is to improve our operating income and to build a foundation for future revenue growth. To recap, then, on our accomplishments so far, we have divested 10 products ahead of schedule, significantly reduced our run rate costs in fiscal 2012 by approximately $45 million, we've returned $250 million of capital to shareholders and just announced that we will be returning an additional $100 million and that we expect to exit the fourth quarter with an operating margin of 35%. We also determined, after much deliberation, that the Apama solution was not aligned with our go-to-market strategy and that divesting the asset would allow us to better focus on our vision. We continue to make good progress towards achieving our desired level of operating efficiencies across all areas of our business. At the same time, we are also focused on building a foundation for future revenue growth. We moved closer to this goal during the second quarter by announcing that we had purchased Rollbase, a Northern California-based, privately held independent software vendor that was recently named one of the core vendors in Platform-as-a-Service by Gartner. The application development market is both changing and growing at a very fast pace. We continue to see excellent opportunities in the on-premise market, as our partners and customers take advantage of the new functionality we have released in OpenEdge, our flagship Application Development Platform. This new functionality enables our partners and customers to not only modernize their applications with an improved user experience, but also deploy their applications on a wide variety of mobile platforms. This enabled us to record solid organic growth in the second quarter, ahead of our expectations. While there will always be a demand for on-premise applications, we have seen a growing demand for cloud-based application development and deployment. Progress announced last year that we intend to be a leader in the Application Platform-as-a-Service market and the acquisition of Rollbase enables us to accelerate this objective. A large number of our existing partners and customers have built SaaS applications and have been requesting a platform that will enable them to seamlessly migrate their applications to the cloud. As a result of the Rollbase acquisition, our existing on-premise partners and customers, as well as new customers, will be able to either continue to build applications on-premise or build and deploy their applications in the cloud and/or deploy on-premise. In other words, we have created a very flexible development environment where developers are free to build on Progress Pacific, as our new platform is named, and deploy on platforms of their choice. Progress Pacific also provides other advantages to developers. Access to data is critical. Competitive advantages for developers and users do not just apply to accessing and analyzing Big Data, but all data. Progress is the global leader in data access with our DataDirect offering. By integrating DataDirect data access into our Progress Pacific platform, developers no longer have to determine and define their data sources at the point of development, but only at deployment, making it significantly easier and faster to build their solutions. But in the words of those selling their products on TV, but wait, there is more, Progress Pacific will also integrate the Corticon Business Rules and business process management into the platform, which creates a very powerful set of cloud-based solutions. Connecting OpenEdge to Progress Pacific will significantly enhance the OpenEdge platform by providing OpenEdge developers the opportunity to build their apps in the cloud, connect to their on-premise OpenEdge data and either deploy on-premise in any cloud or in any hybrid environment. Another compelling aspect of our new platform is that each of the solutions I mentioned is also available as a standalone point solution. This will enable customers and prospects the opportunity of starting with a single solution and then as their needs grow, they can add more solutions. The beauty of this is that even though these solutions can be purchased separately, they will be integrated into the Progress Pacific platform, thereby protecting the initial investment and subsequently being able to take advantage of the power of the platform. As we tightened our focus around our core vision, it was appropriate for us to make some key organizational changes. Last week, we announced that Karen Tegan Padir is our new Chief Technology Officer and John Goodson was appointed our Chief Product Officer. Over the past year, both Karen and John have been at the heart of driving the rapid cadence of launching new features for our existing products, as well as delivering on our Progress Pacific road map. I'm excited about their ability to lead these functions and engage our customers and prospects, and with their strong application development experience, to continue to drive enhancements to our platform that will further differentiate Progress Pacific in the marketplace. Despite some of the instability associated with the many changes we have made over the last 12 months, this is an exciting time for our company. We have begun to see signs of organic growth emerging. We have announced our new Progress Pacific platform, and we have made solid progress towards expanding our operating income. I'm very proud of our Progress team and very grateful to the large base of loyal partners and customers who now see Progress Software as a trusted and innovative partner. I'd now like to turn it over to Chris Perkins, our Chief Financial Officer, for a financial review. And then we can move to our Q&A session. Chris?
Chris E. Perkins: Thank you, Phil, and good afternoon, everyone. As a note of clarification, all of the financial metrics I will talk about today are related to our continuing operations and exclude any results from the Apama product line, which are reflected in the press release as discontinued operations for all periods presented. Total revenue was $82 million in Q2 2013 compared to $74 million in Q2 2012. The overall growth was 12% on constant currency and up 10% using actual exchange rates. The strong revenue result was driven across all of our product lines by an improved focus on selling into our install base. Second quarter revenues benefited from opportunities in our pipeline that we had previously projected would affect our Q3 revenues. No particular deal drove a spike in the volume and attests to lack of reliance on any one customer or partner. License revenue in the first quarter was $29 million, up 45% from Q2 2012 in constant currency and up 43% at actual rates. Maintenance and service revenue was slightly down from Q2 last year; however, our maintenance renewal rates remain above 90% and during the second quarter, we initiated a win-back program of a subset of customers who had fallen off active maintenance, with some success. We can primarily attribute this success on OpenEdge's improved value proposition based on new functionality and vision. We are also pleased with revenue growth across our set of products. While we don't report revenues by product, on a constant currency basis, we saw year-over-year growth of 6% in OpenEdge, 57% from DataDirect and 30% from Decision Analytics. For our Q2 revenue by geography, North America was $38 million, up 17% from the same quarter a year ago; EMEA revenues were $34 million, up 11% on constant currency; Latin America revenues were $7 million, up 4% on constant currency; and APJ, was $5 million, down 7% on constant currency. In APJ, we are pleased with our new leadership, and we continue to focus on building channel partners in the region. With 54% of our revenue stream outside of North America, we continue to be cautious in the upcoming quarter, due to macroeconomic uncertainty and seasonality in some of the regions we operate. Our non-GAAP EPS from continuing operations was $0.27, which was the same as Q2 2012. The non-GAAP operating margin in Q2, which continues to include certain stranded costs related to our divestments, was 29%. This reflects total non-GAAP expenses of $58 million, up from $49 million a year ago, but down from $62 million sequentially in the first quarter of 2013. We expect expenses from continuing operations to be relatively flat from Q2 to Q3 2013, with further sequential reductions of stranded cost, offset by increased product development investments related to our aPaaS strategy in the Pacific platform. Cash flows from operations were approximately $14 million for the quarter. Impacting cash in the quarter was the completion of the $250 million 10b5-1 plan launched in October of 2012. From October 2012 through the second quarter, we repurchased just over 12 million shares for $258 million. We announced today that our board has authorized a new 10b5-1 plan to be active from July 1 to December 31, 2013, to repurchase an additional $100 million and also extended the authorized amount of repurchases to $360 million. The company ended the quarter with a strong balance sheet, with ending cash, cash equivalents and short-term investments of $256 million and no debt. Net DSO from continuing operations for Q2 was 56 days, down 9 days from 65 last quarter. We ended the quarter with just over 1,100 employees, down from 1,395 at the year end of 2012, reflecting our transformation of the company, the divestiture of non-core product lines and execution of restructuring efforts. Moving to guidance, we are providing quarterly guidance for our fiscal third quarter 2013. We expect quarterly year-over-year revenue growth to be between 2% and 4% based on constant currency. We expect the non-GAAP operating margin for Q3 to be in the range of 24% to 26%. I'd like to reiterate our intent to exit the year at 35% operating margin. While our guidance does not indicate -- or does indicate a decline of operating margin in Q3 from Q2, it is largely due to lower revenue in Q3 and our investments related to our aPaaS strategy. The fourth quarter's margin will improve through further reductions of stranded cost associated with our divestments, as well as improved revenue typical of our fourth quarter. In summary, we are pleased with our Q2 financial results and business direction for the second half of the year. We are confident in our strategy and our ability to execute on our internal plans. With that, I'd like to hand it off to Tom for the Q&A.
Tom Barth: Thanks, Chris. That concludes our formal remarks for today. I'd now like to open up the call to your questions. [Operator Instructions] I will now hand the call over to Farrah, to conduct the Q&A session.
Operator: [Operator Instructions] And we'll go first to Aaron Schwartz of Jefferies.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: The first question I have is sort of, I guess, a broader question. But you had quite sizable, I guess, license upside compared to at least my model. And you are talking, I guess, increasingly, about cloud development, subscription as services and sort of, I guess, aligning yourself to a lot of cloud strategies. I guess 2 questions. One, how should we think about -- or how are you planning the license revenue going forward between perpetual and upfront and a more ratable model, as you migrate into that type of model? And then, I guess, maybe if we could just start with that question, and how should that impact the model going forward?
Chris E. Perkins: Well, I think I would state that related to our aPaaS strategy, we are not including or projecting any significant revenues from that strategy in 2013. So I think you can continue to focus on the trends that we've talked about historically or that you've projected in your models, without including any significant or meaningful impact related to the aPaaS strategy revenues.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: Okay, understood. And I guess, as that does build in future years, I mean, would that -- I mean how do you price for some of these new strategies, will this be a more ratable-type billing model?
Chris E. Perkins: Yes it will, yes it will.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: Okay. And then you alluded to -- the second question, I guess, you alluded to the cost into Q3 here, it seems like if we back into the guidance a little bit, and I am assuming the 2% to 4% revenue growth is off the base of $74.4 million, I guess, could you just confirm that's the right revenue number to think about as a base, to grow the guidance off?
Chris E. Perkins: That is correct.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: Okay. And then so if we -- if we back into it, it looks like maybe you get a little bit of gross margin relief from the sale of Apama, but OpEx is relatively flat-ish into August, and you mentioned that would be in effect for the way the model shapes out. Are there other contractual agreements that expire that allows these stranded costs to go off? Or what sort of gives a little more comfort that the OpEx would start to lower now because I guess given the changes you've made in the business, I would have expected to see that occur a little more aggressively here into the August quarter?
Chris E. Perkins: Well, there still are stranded costs that we -- again, we have not closed on the Apama divestiture. So there will be certain costs that will be stranded related to Apama that we will have to execute on and work towards those cost reductions after that's closed. We continue to have some stranded costs that we're working through and focused on, in our plan to get to 35% operating margins, that will be transpiring through the third quarter. So I wouldn't say they're necessarily contractual obligations. But they're a process to move those forward according to our game plan.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: Okay. And then last question. On the deferred revenue, is that all organic? So is Apama held in a different balance sheet line item?
Chris E. Perkins: That would be correct. It's all included in discontinued.
Operator: Our next question today comes from Steve Koenig of Wedbush Securities.
Steven R. Koenig - Wedbush Securities Inc., Research Division: I wanted to ask on the license revenues here, it really looks like DataDirect is back on track after some rocky couple of years here. You did mention overall there were some Q3 opportunities that you expected to close in Q3 that closed early. Can you give us a sense, is this like one big one, is it a handful, or is it a dozen or more? And any sense of the size of these transactions? And were they OEM or end-customer-type deals?
Chris E. Perkins: There were a mix of partners and OEM deals. There was no major significant deal, it was a number of deals across all regions that executed well. And again, all product lines achieved good performance, both in revenue growth on their own, as well as across each of the regions. So it's not attributable to any sizable deal. But again, the positive momentum that we saw in our customer base and our partner base and the ability of our sales them to execute effectively.
Steven R. Koenig - Wedbush Securities Inc., Research Division: Okay, great. And then I guess for my follow-up here, just a little bit more conceptual and strategic here. I'm wondering in terms of the PaaS strategy, you'll be going up against the much bigger players that have a lot of traction, both with application vendors, as well as end customers, and strong brand recognition by end customers, which in turn pull the application partners to want to use their platforms, both to extend the existing deployments and also because the end customers recognize that platform. You all will be focusing on the application partners, I understand. How do you compete against that kind of two-pronged approach, which I would think would add power to that strategy versus going straight at the developers?
Philip M. Pead: Yes, Steve, this is Phil Pead. The interesting thing about this market is, according to IDC, it's about $16 billion as of 2016. I'm talking about the Platform-as-a-Service market, growing at about a 45% CAGR. So there is huge opportunity here for Progress. And the reason I say that is because everyone that is focused in this market right now has definitely decided that their niche approach is going to be either driven by approaching the technology infrastructure, customers that they targeted or they are focused on a single stack, which may relate to CRM. As you mentioned, there are SaaS to PaaS players out there. I think the biggest differentiation for Progress, is first of all, we have a very large existing ISV base, and I think that people have overlooked that. This is a very strong loyal base. A large number of which are transitioning to offering SaaS-based applications and are looking for a platform to build new applications to do that. The announcement that Progress made on Progress Pacific has absolutely resonated with them in a way actually that, even though in your best of circumstances, you can anticipate a positive reaction. It took us by surprise just how receptive and how positive the -- our existing customers, our OpenEdge customers, have taken to this. If you then add to the fact that one of the biggest differentiators that Progress has in the market is DataDirect and the ability that we have to access so many disparate data sources and integrate that into the platform, is a huge advantage for developers and it's becoming more and more complex as you think about all the data sources that developers now want to take advantage of in their application. So this isn't just something that they're going to add an API to. This is something that they can integrate into their application in a way that's -- that is native and seamless, and a huge advantage, in our opinion, for our platform over others. So our approach is going to be that data becomes more and more critical. I don't think I'm saying anything that no one already appreciates in technology today. But data does become more and more critical and the more seamless that we can make that in our platform and the more opportunity we give developers to integrate that into their applications, I think the more compelling Progress Pacific platform becomes to them. So that's really our focus, is to go and sell a lot more to our existing base of customers. I think as a result of that, it will resonate with new developers to come on and start looking at the Progress platform. With Progress Pacific, we now open it up to many more developers that go beyond the traditional OpenEdge development community. So I would say that even though the market is competitive, it will always be competitive. There'll be new entrants to it. I think that Progress has got a really good opportunity to lead in this space.
Operator: Moving on, we'll hear from Mark Schappel of Benchmark.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Chris, starting with you, wondering if you could just give us what the operating margins would have been without the stranded costs?
Chris E. Perkins: That isn't any information that we've disclosed, as far as breaking out our operating expenses by stranded versus non-stranded. So it's not information that I would disclose now.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Okay. And then Phil moving over to you, I realize it's still a little early with respect to the OpenEdge mobile initiative or product that you have, but just wondering if you'd give us some indication as to the traction you're getting with that product so far. Are customers actually building applications on it yet? Or are they still just kind of kicking the tires?
Philip M. Pead: No. Actually, the OpenEdge mobile application that we released to our OpenEdge community has been really well-received. It has enabled, I think, a large number of our partners, our application development partners, to build new apps in a mobile environment. It also helps them reduce their costs, even though some of our partners had kind of built their own. Because if you remember Progress was kind of focused on a different strategy, it's now enabled them to embrace it within the OpenEdge platform itself. I will tell you that it's very exciting to see the on-premise OpenEdge marketplace be as receptive as they are to the new functionality that's being released. It's a testament to the product management and Product Development teams within Progress to release new functionality to the OpenEdge platform that OpenEdge developers hadn't seen in quite a while. We have run, I don't have the exact number, but a large number of user-group conferences around the world, where we've engaged new partners, attendance is higher than they've been, again, for a very long period of time. So, again, taking care of your customers, focusing on their needs, releasing functionality that they need to remain competitive, has really energized the existing OpenEdge customers, and it's just exciting to see it.
Operator: Our next question today comes from Scott Zeller with Needham & Company.
Scott Zeller - Needham & Company, LLC, Research Division: I wanted to see if I heard correctly from the prepared remarks. I believe I heard that some of the 2Q revenues benefited from deals that were anticipated for the fiscal third quarter or August? Did I hear that correctly?
Chris E. Perkins: That's correct. Based on -- as we came into the second quarter and reviewing our pipeline out for the -- for several quarters out, we did see several deals and a volume of deals come through and actually get closed and recognized in the second quarter. That's correct.
Scott Zeller - Needham & Company, LLC, Research Division: Okay. If that's the case, then when we look at the August quarter and given the macro and your exposure to the continent, the fact that you believe you'll be up 2% to 4% for the continuing operations business and given that you pulled ahead some revenue. Could you tell us how you have the confidence in that modest growth for the August quarter?
Chris E. Perkins: Sure. I'll comment and then Phil can add to it. But we go through a process, obviously, of involving our entire operations and management team in the forecast and reviewing the activity, the pipeline of our sales team and the confidence in that pipeline. And we are comfortable with that guidance revenue. And it suggests that there is a positive element of excitement in our customer base and our partner base and, again, as I mentioned earlier, our sales force is excited and motivated about what they see in that customer base.
Philip M. Pead: Yes. And nothing to add, Chris. I think that, that's really, again, part of our planning process. We do -- again, I wanted to call out the sales team, they've done a fantastic job. We have good metrics now, better metrics then I think we've ever had. And certainly in the tenure that I've had here, our sales team really do understand their customer base and their markets a lot better. We're continuing to refine our methodologies and our models. But we feel, based on the information we have today, we feel comfortable with the expectation that we have for the quarter.
Scott Zeller - Needham & Company, LLC, Research Division: And switching gears to the use of proceeds. So we understand there's the $100 million announcement from today. But aside from that, given the cash balance of the company and the recent Rollbase acquisition, could you tell us your thoughts about the types of moves you may make in M&A? Would it be more of an asset purchase, or would it be a larger-scale purchase with the revenue run rates? Could you just give us your thoughts on that, please?
Philip M. Pead: You bet. The methodology, clearly, that we're always using is to make sure that whatever capital allocation we have is governed by the appropriate metrics that we would use to return the appropriate -- or optimize and maximize our shareholder value. And as we build out the Pacific platform, I will tell you that directionally, we would consider in our -- any strategy or -- of any M&A strategy, we would consider an asset purchase or a technology tuck-in as we look at accelerating our entrance into this market. So that would be the way that I would answer your question. We're not looking at anything more meaningful or transformational, as it relates to us continuing to execute on our strategy.
Operator: Next up, we'll hear from Brian Murphy of Sidoti & Company.
Brian Murphy - Sidoti & Company, LLC: Just related to the prior question. With the divestiture of Apama, how should we think about the analytical capabilities of the aPaaS platform? Will you need to partner for that? Or would that be a potential technology tuck-in?
Philip M. Pead: Yes. The -- analytics continues to be a big piece of any development platform. And that is an area that we are focused on, both from a build partner or buy decision. And it just, again, continuing part of our road map. So yes, the answer to that question is we are definitely adding to the platform as we move forward. And analytics would be a consideration today. We have Corticon, which is our business rules engine, very successful, growing very nicely, now part of the platform, as well as the standalone solution. There'll be additional analytics functionality that is built within our platform that is part of our future road map. And so again, that and others that we're considering to enhance our platform are under consideration right now.
Brian Murphy - Sidoti & Company, LLC: Okay. And just looking at the May quarter results for one of your largest customers, I mean, their license revenue was down year-over-year, partly due to more subscription-based orders than anticipated and fewer perpetual license deals. I mean it sounds like this is a trend you're seeing across your ISV base, or at least expecting to see. So how, if at all, do you expect that shift to affect your revenue recognition as royalties flow through to the P&L?
Chris E. Perkins: Yes, I think that, clearly, the market is shifting towards more and more of a subscription-based pricing and clearly that impacts the short-term. But as investors, it provides us greater visibility to the future, and there's obviously a crossover point that will be reached as more and more companies announce that they are going to a ratable model. I think the answer to the question is for Chris and I to start to provide metrics when we believe that it's appropriate, based on our future revenue recognition. And we intend to do that. So as this becomes more and more meaningful for us, there will come a point where the metrics that we provide you will begin to profile how the revenue is trending on-premise versus a subscription model.
Operator: Moving on, we'll hear from Greg McDowell of JMP Securities.
Greg McDowell - JMP Securities LLC, Research Division: My first question, so I'm just parsing your language a bit, and you're using a lot of terms like "choice" and "open," and I was just wondering, as you take a look at all the different aPaaS vendors on the marketplace right now and another has alluded to, there's a lot of them. Where do you see Progress Pacific in terms of being completely open versus being sort of this closed proprietary OpenEdge-ed ABL-type platform? And how -- what sort of changes can we see throughout the rest of this year to see that platform open up even more?
Philip M. Pead: It's a great question, Greg. Thanks. The -- as you know, those of you who followed Progress for a while, know that one of the perceived barriers to growth has been the how widely used and what kind of knowledge base we have for the development language that was part of the -- that is part of our OpenEdge platform. ABL is absolutely a loved language in the Progress community. But the issue, of course, is that finding more and more ABL programmers is somewhat problematic. Progress, with the Progress Pacific platform, as I mentioned in my prepared remarks, does now give both OpenEdge developers that use ABL the opportunity to also start building applications using the -- what, of course, is the Rollbase acquisition, the Rollbase platform that is now going to be integrated into the Progress infrastructure to become Progress Pacific. It gives them an opportunity now to develop applications where they can use, obviously, the Rollbase technology that will provide them -- because it is a productivity platform. Again, that's a differentiation for Progress, which I should've mentioned earlier. It gives them an opportunity to start building out applications on a rapid development platform, where they will essentially be able to build 80% of their application very, very quickly, 20% or more depending on the complexity of the application, can be completed using JavaScript. So they now have a fairly ubiquitous programming language that they can use. And at some point in our future road map, they will be able to then start generating ABL code through that Progress Pacific platform. And so bringing the 2 environments together is a big piece of our directional road map. It enables those that continue to program in OpenEdge today and ABL to do so. It allows them to start building their applications in the cloud using the Rollbase platform. It enables them to generate a JavaScript code, as well as ABL code. So the whole purpose of this announcement is really to enable our OpenEdge customers, our DataDirect customers, our Corticon customers to take advantage of a single platform that brings all these solutions together, migrate them to cloud deployment, manage them on an on-premise basis, get access to data on-premise, build their applications in a cloud, deploy them in a cloud or deploy them on a mobile environment. We want to really -- as I think you picked up on the words that I've used, we really position Progress as the most flexible platform to build your applications. But build them in a way that you can rapidly deploy them without being confined to a specific stack, and that's really the essence of the Pacific platform.
Operator: And we have no further questions at this time. Mr. Barth, I'll turn the conference back to you.
Tom Barth: Thank you, Farrah, and thank you, all, for joining us in the call today. As a reminder, we plan on releasing financial results for our fiscal third quarter of 2013 on Wednesday, September 25, after the financial markets close, and holding the conference call the same day at 5 p.m. Eastern Time. Additionally, the company is scheduled to present at the following upcoming investor conferences in August: Needham in New York City and Canaccord Genuity in Boston. We hope to see you at one of those events or would look forward to speaking with you again soon. Have a great day.
Operator: Ladies and gentlemen, that does conclude today's conference. Again, we thank you all for joining us.